Operator: Good afternoon, and welcome to the MGM Resorts International Fourth Quarter and Full Year 2023 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer and Treasurer; Kenneth Feng, President and Executive Director of MGM China; and Andrew Chapman, Director of Investor Relations. [Operator Instructions] Please note, this conference is being recorded. 
 Now I would like to turn the call over to Andrew Chapman. 
Andrew Chapman: Good afternoon, and welcome to MGM Resorts International Fourth Quarter and Full Year 2023 Earnings Call. This call is being broadcast live on the internet at investors.mgmresorts.com. We've also furnished our press release on Form 8-K to the SEC. 
 On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. As is required by law, we undertake no obligation to update these statements as a result of new information or otherwise. 
 During the call, we will also discuss non-GAAP financial measures when talking about our performance. You can find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. 
 Finally, this presentation is being recorded. 
 I will now turn it over to Bill Hornbuckle. 
William Hornbuckle: Thank you, Andrew, and good afternoon, and thank you all for joining us today. 
 MGM Resorts achieved outstanding results in 2023, delivering all-time high adjusted property EBITDAR in Las Vegas and in MGM China. Notably, 7 of our domestic properties set individual records for adjusted property EBITDAR for the full year. These outstanding accomplishments underscore the resilience and the agility of our team in navigating a complex operating year. In fact, our employee earned record NPS scores from our customers throughout 2023. I want to thank all of our dedicated employees who constantly strive to deliver on world-class service to our guests. 
 The strength and resiliency of Las Vegas market has been particularly impressive. Strategically, you've heard me talk a lot last year about the evolution of Las Vegas as the new sports and entertainment capital of the world. You saw that fact proven out again Sunday as the city proudly hosted Super Bowl LVIII right in our own backyard. The game was another strong hotel and casino event for us with ADRs near $1,000 and posting 3 of the top 5 room revenue days ever recorded, and near-record event gaming volumes. The game weekend is typically a strong event for MGM Resorts but having the game in town amplified those results dramatically. 
 The game on Sunday followed our inaugural Formula 1 race in November, which was also an incredible success as the largest city event in our history. Additionally, we gleaned valuable insights from the event and specifically on how to better price and program all of our resorts and streamline the preparation work for future years. With both F1 and Super Bowl, our brand was on full display. Our proximity to the Legion Stadium, the F1 track and, of course, T-Mobile Arena afford us the opportunity to expand our reach during these citywide events. 
 We also have officially launched our partnership with Marriott with impressive early results. Marriott Bonvoy customers can now seamlessly book rooms at select MGM properties in Las Vegas with 16 brands set to be introduced by the end of Q1. 
 In Macau, we ended 2023 with an all-time record adjusted EBITDAR for the quarter and the full year. Our robust market share was comfortably in the mid-teens and continued its upward trend in January. The strategic addition of 200 table games, coupled with the agile operations of our team and the reinvestment into many amenities, have collectively driven these exceptional results. 
 In digital, BetMGM made its full year 2023 targets in both net revenue and second half profitability. They also made significant strides in the technology road map with the launching of a new app design and with single account, single wallet capabilities being available now in those states. 
 Looking ahead, our outlook remains strong. We're encouraged by the metrics we've seen in our business including room and rates on the books and in-the-year group attendance and future bookings as well as the robust event calendar for the city. Our Las Vegas operations, which represented more than 70% of our U.S. brick-and-mortar adjusted property EBITDAR in 2023, will benefit from a number of key initiatives in '24. For example, our transient segment will grow as a result of the Marriott relationship, which will bring a new customer base that will be acquired at lower acquisition costs, higher rates and more spend on property. 
 On the group side, the Mandalay Bay Convention Center refresh is nearly complete, and we're poised to benefit from an increased 100,000-plus group room nights on The Strip. With MGM's casino segment, we will drive growth from the return of Far East baccarat play, which is still below 2019 levels. We will leverage our branch office network to drive customers to our resorts in Las Vegas and expect to see further recovery of international inbound flights, which are still only 75% recovered from Asia. Later this week, we will hold our annual Chinese New Year celebration at Bellagio and Aria, which is already seeing stronger gaming demand than last year. 
 Our 2024 regional outlook anticipates demand to remain stable. That being said, we are committed to consistently improving our operational model, sustain margins and foster a steady generation of free cash flow. Our regional portfolio has historically proven to be highly defensive, thanks to the exceptional high-quality assets we operate, the diverse set of non-gaming amenities we offer, our strong market share positioning and overall customer loyalty. 
 Looking ahead in Macau, our exceptional results for 2023 have carried into the first 45 days of 2024 driven by successful events, including a Bruno Mars concert at the MGM Cotai, driving strong visitation to our properties. Demand in our properties for Chinese New Year, which is also going on now, is also very strong. As we look further into the year, the Macau government has set a target to attract 33 million visitors in 2024, reflecting a 17% increase year-over-year, a testament to our team's continuous innovation in crafting compelling experiences for our predominantly premium mass clientele. Our focuses on the New Year in Macau remain on three priorities: implementing strategic adjustments to our casino floor and existing room offerings to optimize yield, prioritizing the needs of our mass and premium mass customers and actively driving international tourism. 
 Turning to BetMGM. In 2024, we will soon be live in 29 markets with the launch of North Carolina next month. We had a noteworthy technology achievement in January with the approval and subsequent migration of the Entain platform in Nevada. This sets the stage for integration of single account, single wallet in Nevada later this spring, which is critical to our omnichannel thesis and will fully unlock one of the key differentiators for BetMGM by fully leveraging our Las Vegas properties. 
 Within our international digital space, in the U.K., LeoVegas, BetMGM's KPIs have exceeded our initial projections, demonstrating again the strength of MGM's brand. In fact, by leveraging the MGM Resorts' balance sheet, we now offer the highest jackpot payouts amongst all competitors in the U.S., making our offers even that much more compelling. 
 Turning to our development pipeline. In Osaka, we successfully began liquefaction countermeasures in the fourth quarter, maintaining our trajectory to commence preparatory construction efforts in 2025, on time for a 2030 opening. Additionally, in New York, the request for proposal process is currently underway. We anticipate submitting our full application to the government by the middle of this year with a decision expected shortly thereafter. 
 Putting it all together, our company is in a great position to generate free cash flow through 2028. We'll deploy this free cash strategically into development projects such as Japan and New York; we'll reinvest in our existing portfolio through maintenance and growth CapEx, which we are specifically focused on enhancing and expanding our luxury-oriented offerings; and the repurchase of shares at attractive levels and investment, which we believe will still continue to generate strong returns. 
 Jonathan, over to you. 
Jonathan Halkyard: Thanks, Bill. And before I dig into the financial results, I'd like to join Bill in thanking our employees at MGM Resorts for an outstanding quarter and a truly great year. While I certainly focus on our exceptional financial results, we accomplished that and so much more together. 
 Our consolidated businesses in the fourth quarter generated net revenues of $4.4 billion, up 22% from last year; net income of $202 million; and adjusted EBITDAR of $1.2 billion. During the quarter, net cash from operating activities was $716 million and free cash flow was $387 million. It's important to note the $283 million in cash flow from operating activities and $18 million in capital expenditures related to MGM China, and they were included in the quarter. For the full year of 2023, free cash flow was $1.8 billion. 
 In Las Vegas, same-store net revenues, which excludes Mirage from the prior year period, was $2.4 billion, up 10% over last year. On previous calls, we've talked about the fact that our operations in Las Vegas skew towards the high end, with approximately 80% of our strip adjusted property EBITDAR coming from our luxury properties. Interestingly, this year's revenues from our luxury properties increased mid-teens for the quarter and the year, representing approximately 90% of our absolute top line growth. And this further highlights the prominence of the higher-end segments in our business here in Las Vegas. Same-store adjusted property EBITDAR increased 3% or $29 million year-over-year. Margins were about 36% in the quarter, well within our expected range in the mid-30s. 
 In the regions, same-store revenue, which excludes Gold Strike, was down 7% year-over-year, with same-store adjusted property EBITDAR decreasing $64 million or 22%. It's important to note that approximately $60 million of the decrease year-over-year came from Detroit and National Harbor, where those properties were impacted by disruptions related to a strike and some high-end play not returning, respectively. There was also some lingering cyber incident challenges that specifically impacted the regional portfolio given that promotional offers were not available to our customers for the first half of October. Beyond these specific property circumstances in the fourth quarter, the regional property trends remained stable. 
 As we look to drive future growth within our domestic portfolio, our centers of excellence and property leaders have identified opportunities to increase our share of customer spend and drive organic growth. We see plenty of both near-term and medium-term opportunities to enhance revenue per occupied room night even beyond the benefits of the Marriott partnership. For example, adaptive pricing will maximize throughput within our high-demand outlets and will further enhance our ability to drive upsells and new product offerings. This includes bundled packages with room, show and food and beverage offerings. We expect these initiatives to drive RevPAR growth in 2024. Improved segmentation will allow us to increase personalization and enhance the guest experience while driving increased NPS and overall customer lifetime value. An omnichannel purchase behavior by our MGM Rewards members will be enhanced by a single account, single wallet in Nevada later this year. Once in action, our customers will be able to open an account here in Las Vegas and bring that wallet home to continue their experience with MGM Resorts, allowing us to drive targeted marketing and outreach to further cross-sell our digital and physical assets. 
 Moving over to MGM China. Our record adjusted property EBITDAR of $262 million was a 42% increase compared to the fourth quarter of 2019. This was driven by casino revenue, which increased 31% versus the fourth quarter of 2019, and more specifically our main floor segment table games win, which increased 74% from 2019. Margins were in line with the first 3 quarters of the year at 27%. Market share was an all-time record in the fourth quarter at over 16%. And for the full year, our market share exceeded 15%, which is 600 basis points above our 2019 performance and 300 basis points above our table fair share. 
 On the digital side, BetMGM successfully met its 2023 targets by reporting positive EBITDA in the second half of the year and reaching the upper limit of its net revenue from operations guidance of $1.8 billion to $2 billion. 
 And let me close, as usual, with a brief walk-through of our capital allocation strategy and our valuation. First off, we successfully closed on an amendment and extension of our seam-secured credit facility this week. This expands our capacity by approximately $600 million to $2.3 billion and extends the maturity of that facility to 2029. The commitment from our relationship banks allows us to sustain our financial policy of a minimum $3 billion in liquidity while deploying incremental cash for further high-return investments, including share repurchases. As Bill mentioned, we expect to fully fund the equity contribution in Japan and the commercial gaming expansion in New York with our free cash flow. 
 Domestically, we intend to invest maintenance capital of approximately $600 million this year or 4% of revenue, which is consistent with our historical trend. Major maintenance capital projects this year focus on luxury-oriented offerings, examples being the remodeling of the Bellagio Tower Suites, the Cosmopolitan Chelsea Tower penthouses and the MGM Grand Main Tower rooms. 
 As of the end of 2023, we had liquidity of $4.5 billion when excluding MGM China. Excluding the cash that we keep on hand to operate our business, in keeping with our policy, we have $1 billion in excess cash, which will be allocated to international and digital acquisitions, high ROI capital projects, and share repurchases. We continue to see great value in our shares. And during the year, with a $2.3 billion repurchase of our shares, we reduced our share count by 14%. 
 To close, I would briefly like to discuss our enterprise valuation and why we still believe share repurchases are a remunerative use of our capital. Consider the following. As of yesterday, our share price was $47, and we had 320 million shares outstanding. This equates to a market capitalization of $15.1 billion. And if we add our quarter end domestic net debt and subtract the market value of our 56% stake in MGM China and analyst consensus estimates for the value of our 50% of BetMGM, then we have the enterprise value of our operations less China and BetMGM of $10.6 billion. Divide this by our 2023 EBITDA adjusted for corporate expense, and we calculate an implied current trailing trading multiple of just 4.9x. We think this multiple represents a discount to the value that we see in our future cash flows, which provides us further conviction in returning capital to shareholders by repurchasing our shares at these levels. 
 Bill, back to you. 
William Hornbuckle: Thanks, Jonathan. Before I open it up for questions, maybe just some general comments on the year. And you've heard me say this and used these words, resilient and luxury, a couple of times. If you think about, particularly this last quarter, we were on our heels with a cyberattack. You all understood what that did to us. And so as we entered October, to think we'd end up having the quarter we had, I couldn't be prouder of the organization. And it particularly shown through in luxury. Bellagio, after 25 years, had its best quarter in its history and its best year in its history. And so it does prove that in continuing to invest in these properties in the right place at the right time does make a difference. And so we're very excited by thinking about that as we continue to go forward. 
 I think about what happened with BetMGM and ultimately, our database. MGM Rewards database now has over 44 million participants driven by BetMGM and ultimately, the omnichannel effect of that long term will begin, we think, to pay dividends. 
 Macau is doing amazingly well. I know some of our competitors are wondering what we're doing. Kenny and the team broke through 20% in the month of January for market share. I'm not suggesting that's sustainable. But I will tell you, I think we have repositioned those 2 properties, and we're prepared to compete on an equal basis with anybody in the marketplace. 
 When I think about BetMGM, the original goal 5 years ago was to get into the top 3 because we thought it mattered. And we have. We realize there's focus on product. There are some things we need to do to maintain and keep market share. And we think moves by that team, with Angstrom and other things, have done that for us. 
 We realized, particularly this quarter, there's pressure on regional margins. We know what they did. But remember what Jonathan said, $60 million of the $64 million was tied to two events: a Detroit strike and ultimately, a player in our National Harbor company didn't come back year-over-year. 
 We find ourselves with one of the best balance sheets in the industry, which well positions us to invest in places like Japan and New York. We are looking aggressively at the U.A.E., and Gary Fritz and the digital team has constant things in front of us in terms of growing the balance of our worldwide digital business. And so we're excited by all of that. 
 And then obviously, if again, you follow Jonathan's math, like every CEO, we think we're under-traded at 4.9x, but obviously, you all will be the judge of that. 
 So with that, operator, I will open it up for questions. 
Operator: [Operator Instructions] And our first question comes from Joe Greff with JPMorgan. 
Joseph Greff: Starting off with the Las Vegas, Bill, Jonathan and whoever else is in the room there, can you talk about maybe isolating in the fourth quarter the EBITDA contribution from F1? And then you might be still counting your money from the Super Bowl, but do you think the Super Bowl event in Las Vegas is of a larger magnitude than what the EBITDA contribution from F1 was in the fourth quarter? And then sticking to the topic of F1, Bill, you mentioned about maybe you have a better priced F1 this year and in coming years. Do you think year 2 can be bigger than year 1? Or does it have to level off before it can grow? 
William Hornbuckle: Let me give some broad stroke and then Corey and Jonathan both kick in. Look, F1, when you balance it out year-over-year, it was actually a $70 million increase year-over-year. But if I neutralize the year before, it was about $50 million. We didn't run lucky the year before. 
 Super Bowl was amazing. We were always concerned, we do great Super Bowl parties here, will it be the kind of event that will drive given the additional expense of the tickets, et cetera, et cetera? The answer was hands-down yes, and particularly rooms, and it drove them across the board. Unlike where F1 was isolated to our premium properties, Super Bowl drove it across the board. We had thousands of people in all of our ballrooms in the MGM Grand Garden enjoying the game and enjoying the festivities. And so it was a really successful universal event. Las Vegas showed up, and I think we all did a tremendous job hosting it. And where I was skeptical going in, I would look to clearly want to host this again. 
 I think on pricing when it comes to Formula One, we're going to be more cautious at some of the outlier properties that we have. We got paid for Bellagio, Aria, Cosmopolitan along the track, and we got paid well. I think the further away you've got from the track, with a couple of exceptions, MGM held in there well because of its adjacency to the paddock. There's opportunity to do that better and get more people back into the town. 
Corey Sanders: What I would add, Joe, on F1 in particular, the south Strip in particular, we would treat that probably more like a normal weekend going forward because of the lack of activation there. So we think there's opportunity there. And on Super Bowl, I mean, every cash register, from food and beverage to entertainment, was ringing. So it was much more widespread at every property compared to F1, which was isolated to the luxury. 
Joseph Greff: Great. And Bill, maybe this is a good chance for you to revisit any updated thinking and the Board's thinking on any kind of large-scale digital M&A. Has anything really changed or evolved since the last time you made public commentary on it? 
William Hornbuckle: No. Look, I was at ICE last week, I met with Stella, our partner. We're still very focused on making sure everyone's focus is on BetMGM. And particularly this is a critical year, I think, for all of us. So it's about product, product, product and focus. And so that remains the focus for now. 
Operator: The next question comes from Carlo Santarelli with Deutsche Bank. 
Carlo Santarelli: I respect that you've talked about this previously and not really breaking out kind of impacts from hold, but clearly, in Las Vegas, in the third and fourth quarter, you've experienced much higher than at least what we're accustomed to hold percentages. And I was wondering if, a, you could perhaps provide some impact in the fourth quarter in Las Vegas from the hold; and b, maybe just talk about more quantitatively what's driving it and how sustainable or what you would think, if you had to go back and do it again, normalized hold is in the current environment. 
Jonathan Halkyard: Carlo, it's Jonathan. Yes, we've tried to get out of the business of giving quantifying hold impacts because, as you know, there's a lot of things that cut both ways when trying to isolate the impact of hold. It's certainly true that we experienced good hold in the fourth quarter. But I would also say that, first of all, with this customer segment that drove some of those results, the nature of the play is such that it can lead to higher hold anyway. So the whole idea of what a normal hold is, is a little bit different. 
 And then second of all, there are expenses associated with these customer segments, including, of course, the normal complementaries as well as, in certain cases, discounts in order to induce more rapid retirement of markers and the like. But look, it positively contributed to the results. There's no question about that. But I would also highlight that there were offsets to that, including player-related expenses, as well as some other things we incurred in the quarter. 
Carlo Santarelli: Okay. Good enough. I appreciate that, Jonathan. And then just one follow-up on Macau and perhaps kind of how you're thinking about things there. Obviously, the results are very good. The market share results continue to be very good. But the flow-through in the period, if we look at it on a sequential basis, was a little lower. And I'm wondering if that has anything to do with just kind of expenses that you're incurring or if it's concession-related programming, things of that nature, if you can give us some color on how we should think about 2024 through the context of flow-through and top line growth. 
William Hornbuckle: Let me kick it off, Kenny, I'll turn it over to you. Some of it is simple activity case, to your point, I mean, we have done like all the operatives, a good job going after some of the -- and I'll use our concert that we just had is a great example of an expansion and overhead item, but to drive overall tourism with Bruno Mars, et cetera. So part of it's adhering to that. 
 Kenny, why don't you give some more color though. 
Xiaofeng Feng: Yes. Thanks for the question. Actually, as you can see, like Q4 was a record high in MGM China, basically. We are happy to see that our January performance has continued to grow. So actually, our January performance has exceeded even October levels across all segments, including EBITDA and market share. Currently, we are in the middle of Chinese New Year basically, which is about 8 days' celebration. As to the visitation to the city, it has reached about 90%, 95% of 2019 same-period levels. As to MGM China, 2 properties combined, the visitation, the players count, the table drop, the slot handle as well as the VIP turnover have all well exceeded 2019 same-period levels. So we are confident and we are optimistic with the Chinese New Year as well as the rest of this quarter. 
William Hornbuckle: And Kenny, I just might add, look, contras are growing as our high volume continues to increase because, again, that's on us versus a junket operative in the middle of that. And I'll remind everybody, on our margins in particular, we do not, I wish we did, but we do not have a large retail segment, which obviously, there's a massive amount of flow-through if you're making $100 million a year in rent, which I know some of our competitors are. The flow-through on that is a lot. We don't have that luxury. So it does impact some of our margins. 
Carlo Santarelli: Because you mentioned it, in terms of the contra revenues, it looks like they were 21%, 22% at each of the properties, respectively, in the period. Is that kind of a level that you expect maintains as long as business mix as it stands today maintains? 
Xiaofeng Feng: Yes, that's right. The reinvestment rate actually is pretty flat over the quarters for the past year. 
Operator: The next question is from David Katz with Jefferies. 
David Katz: I want to just go back to BetMGM. Obviously, there is a keen focus on product in 2024 as it's been in 2023. Should we still think about 2024 as more of an investment year for that entity and if 2025 is one where we can start to sort of realize some profits? If you could just talk through the puts and takes for what might cause that trajectory to change this year, next year, that would be helpful. 
William Hornbuckle: Sure, David. I'll take that. Look, I think the answer is yes, you're spot-on. This will be a reinvestment year. Obviously, you've seen we've lost share, literally, in both instances. And the two folks that sit above us were being outspent 2, 2.5 to 1 in terms of raw marketing spend in dollars. We want and need to get our product in a better and different shape. We want more parlays. Obviously, the acquisition of Angstrom by our partner will be a big add to that. We'll be able to stick out more product, we'll have more confidence in it, speed to market will be better, et cetera. And so that's part of what will be developed starting with baseball this year. 
 We hope by the time we hit football next year, a lot of the product differentiators hope to have will be in play. We hope to have a single wallet in play, as I mentioned in my prepared comments, this spring here. But ultimately, a development year this year, begin to see making some cash next year, and I'm suggesting that by 2026, we're going to have a very strong first year of -- this is where this business is going and should be. 
David Katz: And look, it'd be silly for me to ask, as my follow-up, will you or won't you, and so I'm not. But if you could just help us frame out the puts and takes around whether BetMGM could at some point or how it thinks about controlling that entity and being able to drive the trajectory of that product advancement that makes perfect sense, that would be helpful. So it's obviously a matter that's discussed pretty actively. 
William Hornbuckle: David, I would only echo what I said. Look, with Stella as the interim CEO, the focus on the team for product for BetMGM is the focus. I don't want to comment on any other further discussion with them at this point. I don't think it'd be prudent. 
Operator: The next question comes from Stephen Grambling with Morgan Stanley. 
Stephen Grambling: Just thinking about Vegas into 2024, do you generally think of this year as being more of a lodging and F&B year versus a gaming year? And in that context, how should we think about OpEx per day growth in Vegas specifically in the year? What are the major puts and takes to think through? 
Jonathan Halkyard: Yes. Actually, I think that's probably a good way to characterize it. When we look at the drivers of growth this year, and we've talked about a few of them already, a lot of it relates to yielding, pricing, of course, growing demand through this new Marriott partnership and so on. 
William Hornbuckle: Conventions. 
Jonathan Halkyard: Yes, and the conventions business. Thank you, Bill. So those are going to be the main drivers of top line growth. As it relates to OpEx, while, of course, we don't provide guidance for either the top line or the bottom line, we are looking at increases, the main increases associated with our new labor agreement here in Las Vegas with a culinary union. So that will be at least a year-over-year factor for the first half of the year, not really in the back half of the year, since we already incurred that in the last 6 months of the year. That will be the main issue for us. We'll be able to offset that in part through some work we're doing around productivity as well as improvement in cost of sales through leverage procurement activities. But I think kind of a low to mid-single-digit OpEx growth rate, I wouldn't be surprised if we incur that this year. 
Stephen Grambling: And then maybe one other follow-up just on the buyback, I guess, how do you think through the pace that we should be anticipating this year? And what's kind of the upper bound in terms of leverage that you should be thinking through? 
Jonathan Halkyard: The upper bound of leverage would be 4.5x lease-adjusted leverage, and we're a full turn below that right now. I think I mentioned in the prepared remarks, we retired 14% of our outstanding shares last year. It may have been our largest share repurchase year-to-date. I wouldn't anticipate continuing at that pace this year. But we're still active in the market. We still think that the shares are attractively valued. And we still have a fair amount of dry powder, just augmented with our revolving credit increase, to enable us to do that. So I would say it's likely going to be less than it was in 2023, but we're still being aggressive. 
Operator: The next question is from Dan Politzer with Wells Fargo. 
Daniel Politzer: First, I wanted to drill in a little bit just in the fourth quarter in Las Vegas. I think your same-store revenues were up about 10%, margins down a couple of hundred basis points. I know there's a lot of moving pieces in there in accruals and maybe some cyber impact and hold, but hoping maybe you could just parse that out as it would be helpful for us to think about that 2024 OpEx guide you mentioned. 
Jonathan Halkyard: Sure. When we kind of parse it out, accounting for unusual items or things that we wouldn't expect to recur, we think that the margin in the fourth quarter in Las Vegas was maybe benefited by about 100 basis points. So that still puts us right in the mid-30s, which is where we've kind of expected the margins to be for some time. That's where we expect them to be for 2024. 
Daniel Politzer: Got it. That's helpful. And then I guess, more broadly on Las Vegas, as we think about kind of the remainder of the year, I think March, you have CON/AGG rolling off, March Madness, but you have group, as you mentioned, kind of pacing better. How should we think about kind of baking it all in, in terms of an expectation for growth, or any major tent-pole events to kind of call out for the remainder of the year that we should get excited about? 
William Hornbuckle: We've got just top line, off the top of my head, Madonna's coming, Springsteen's coming, The Stones are coming, to name three. We've got a great football kickoff with USC, LSU coming. To your point, obviously, March Madness is always a big deal around here. And then Formula 1 rolls back around again. We are going to miss the Pac-12 championship next year. No, we've got 1 more year, I take that back, so we won't miss that. And so we all must admit, 2023, and if you think about the recent stretch we've just been through, was an amazing year and an amazing stretch. So replicating that won't be easy. But having said that, we still have plenty of content and activity case that kind of fill the void and fill the dates. 
Corey Sanders: And from a city perspective, I think the Sphere has been a great addition. The T-Mobile will be programmed more than it was last year. So all in all, I think it's going to be a really strong year. As you think about March, it won't only be CON/AGG, we also have Easter ending in March. So that will have a slight impact in March on the convention business but will be picked up in April. 
Operator: The next question comes from Shaun Kelley with Bank of America. 
Shaun Kelley: Maybe just sticking with Las Vegas for a moment, Bill, you called out a lot of great commentary and color around the high end, just wondering if you could give us a little bit more color on maybe those core properties kind of outside the high end. What are you seeing on the customer behavior side? What's going to take to drive some growth and improvement at some of those properties as you look out to 2024? 
William Hornbuckle: Well, I'll tell you one thing and Corey can pick this up. But the flow-through, or the spill-off, I should say, from the 100,000 more room nights principally at Mandalay for conference and convention business does flow into Luxor with setup crews, pieces and parts of these various groups, even in the Excalibur. So I think that's an opportunistic thing. Obviously, whether it's resort fees on through, we've gone through with a pricing exercise. We'll continue to do that to try to recapture, particularly the culinary increase, which we all know this year is going to be an extensive one. Then it falls off and basically flattens out for the balance of the 4.5 years. 
 So Corey, anything? 
Corey Sanders: Yes, the legacy properties, the growth is going to be a little bit limited there. It's a small percent of our Vegas revenue. As Bill mentioned, the convention mix, not just here but in town, in citywide, will help some overflow there. But it definitely won't have the same benefits that the luxury properties are and will see. 
Shaun Kelley: Great. And just as my follow-up, I think it was called out in the prepared remarks, but $1 billion earmarked across a variety of things, including international, digital, just help us think through what some of the criteria would be there. I mean, again, I know a lot of eyeballs are focused on something more transformative with your partner. But it sounds like this is more along the lines of what you've done with LeoVegas. So maybe just give us some parameters of what could check some boxes for you in terms of that opportunity looking out for this year or next? 
William Hornbuckle: Sure. We contemplated 4 key pillars to getting and setting up our own shop, if you will. And so we bought LeoVegas with that in mind. We've obviously now gone and bought Push Gaming, which is a content studio. By the way, their first game, MGM Millions, or MGM Money Millions, whatever it's called, #1 game on our network; #1, first game out, branded with MGM. We are on the heels of buying Sports Technology. We want to obviously be in our own sports betting business with our own technology. And over time, we have Kambi that we use for LeoVegas. 
 We are on the heels of a deal for Live Dealer where we've talked about and had a vision of broadcasting live games from Las Vegas to rest of world with some celebrities and entertainment tied to them, and we're on the heels of that. I'm heading down to South America next week or the week after to look at a large JV. Brazil is going to put Internet gaming in play for both casino and sports betting, and we plan to be there when that launches. 
 And so we're focused on building that business at its core into a real business. We've taken BetMGM U.K., as we've talked about. We've got well over 100,000 first-time depositors already in the 4.5 short months. And we're looking at another country already to do the same thing. And so we're going to grow the business. And if we ultimately acquire something else, time to tell, but for now staying focused on that is paramount to us. 
Operator: The next question comes from Brandt Montour with Barclays. 
Brandt Montour: So just first, I wanted to go back to Macau and ask Carlo's question in a little bit of a different way. If we just look at sort of OpEx, excluding gaming taxes, for the fourth quarter, that number did step up a little bit. And I'm just curious, if you look at that on maybe a per day basis versus '19 or however you look at that, is there onetime maybe events-related OpEx in that quarter? And what I'm really getting at is if you guys think we should be thinking about that sort of level as a run rate going forward. 
William Hornbuckle: Kenny, maybe you could speak to this more intelligently, but I can tell you broad stroke, remember, the requirement we have, we have to spend $1.1 billion in 10-year commitment in OpEx driving tourism, and there's about $900 million or so in actual capital expense. So we've got a little over $2 billion commitment to the government, of which the $1.1 billion is pure OpEx. And so a lot of the activity case in driving international tourism and driving tourism isn't necessarily tied to the usual marketing programs that we'd think about in gaming. 
Xiaofeng Feng: Okay. This is Kenny. As you know, like for the past year, with the new concession, we added another 200 tables. Of course, we added a little bit more FTEs. We have more daily table open hours. But in general, we are very, very tight regarding our OpEx control. You can see from our EBITDA margin, over the quarters of the last year, we are very stable, in the high 20s, along with our market share gains and the business growth. As Bill just commented, we do not have so much high-margin retail rental EBITDA, but our gaming EBITDA margin is really way up there in this marketplace. I can see for the next for these next couple of quarters, we should be quite stable with our margins. 
Brandt Montour: Okay. That's perfect. And then circling back on digital and BetMGM specifically, I was wondering, Bill, if you want to comment at all on the sort of newly announced partnership with X, what you can say about how that deal came together, the structure of the deal, and anything from an economic standpoint that you can share and then what you expect the impact to be over time. 
William Hornbuckle: Look, it's interesting. It just started, as you know. So we have high hopes for it. We had literally 100 million people, when they flipped on X yesterday, day before, are going to be exposed to that offering and that opportunity. That team is probably much better positioned to give you some input on what they think the outcome is going to be. I can remember from the various presentations that if you captured about 0.1% of those folks, it was a significant uptick to the company, and it's efficient. The way we've structured this deal compared to other even general bonusing, it's an extremely efficient deal for us. So we'll see. Our customers live there. But everyone was on X, I guess, but we particularly think the demographic fits well for what we do. 
Operator: The next question is from Chad Beynon with Macquarie. 
Chad Beynon: I wanted to ask about the regional properties. I guess, more so in the current quarter, we've seen a number of public releases out there for January showing that there's been some pretty significant declines. And it sounds like most of that is kind of chalked up to bad weather, and we've heard that from a lot of companies. So a, maybe if you're willing to kind of touch on that given that many of your properties are in these areas that may have inclement weather in January. And then more importantly, is that core customer in the regional markets stable? Are we seeing any trends kind of rolling off in terms of that low end? Or does it still feel as good as you kind of look out to '24? 
Jonathan Halkyard: Yes. I would say that certain of our properties were affected by the weather. Springfield comes to mind as one. Empire is another. But we also saw some pockets of strength in January as well. I would say both because of weather effects as well as the calendar a bit coming off of New Year's, January saw some of those impacts in our regional markets. 
Corey Sanders: Players are pretty stable from all age groups and all spend. During COVID, we actually eliminated a lot of that low end play. So in general, what we're seeing in February, we're pretty positive on. And we feel pretty comfortable that what you saw in January was a weather-related component of the business. 
Chad Beynon: Okay. Great. Appreciate that near-term color. And then with respect to New York, is there any update in terms of the time line as we get through '24, anything to speak to us about? 
William Hornbuckle: Yes, this is Bill. No, I wish there was. I know they're going through some of these zoning things by all of the boroughs. I think, ultimately, we're going to wait and see what happens. I suspect they're going to wait and see what happens there. It may make a decision for them. And then in fact, they'll come back to us with the round 2 questions, and then that gives our 90-day clock going. But we're hopeful, by the middle of this year, we get something submitted and that by the end of '24, something is awarded. But we don't know anymore, unfortunately. 
Operator: The next question is from Barry Jonas with Truist Securities. 
Barry Jonas: As you think about the potential for A's baseball stadium, how does that influence your thinking about incremental CapEx for your adjacent properties over the next few years? 
William Hornbuckle: Very interesting question. We've been thinking about that, talking about it. For us, obviously, the place to invest capital, first and foremost, if in fact that all happens, is MGM. I mean it's our brand. It's our name's sake. It's on the corner of Las Vegas Boulevard drop. It would literally be adjacent to the stadium, and it needs some love. It's a 30-year-old property. We're going to reinvest in the rooms this year. We've got some new show concepts. We've done a few restaurants. But the front end of the property, as you get closer to Las Vegas Boulevard, needs some attention and some reprogramming. We're waiting to see where that lands. I have to believe, in the next 30 to 60 days, we should find out more. I've been shown three versions of it now in terms of where it will actually sit on the site and how it will connect. Once it settles in, we'll get serious about what we might want to do and how we might want to communicate with it, if you will, in terms of pedestrian traffic, et cetera. But that's how to think about where we might go first is really MGM and see how it all plays out. 
Barry Jonas: Okay. Great. And then just as a follow-up, you talked a bit about U.A.E., but maybe can you get into what the next steps are for gaming legalization there? And maybe also elaborate on how you could potentially participate in Abu Dhabi. 
William Hornbuckle: As I think we suggested last year, we spent some time on the ground there, specifically in Abu Dhabi, trying to understand the license in general for U.A.E., but ultimately, the opportunity in Abu Dhabi. We believe it would be on the Yas Island. That opportunity still exists. To the extent there is a submission to be had, we may participate in that. Obviously, we have Dubai. We have our project there, which is an amazing project. It's going to be over a $2.5 billion project without a casino in it. And so if and when both Abu Dhabi itself as the general license granter for all or any of the Emirates goes, and then ultimately, one by one, the Emirates say they would like it, we hope to be positioned either for Dubai or Abu Dhabi, but time to tell. And it may start with digital first, a lottery, potentially digital. 
Operator: The next question is from Robin Farley with UBS. 
Robin Farley: I just have two pretty quick ones. One is just if you could clarify, in the regional for Q4, I think it was $60 million, how much of that was just the strike, if we were trying to think about just the kind of nonrecurring piece of that $60 million decline? 
Jonathan Halkyard: Yes. The $60 million, roughly half is related to the strike and the other half to the National Harbor. 
Robin Farley: Okay. Great. And I don't know if you said for Marriott, and I know it's only been a couple of weeks, but did you give any metrics about what percent of room nights or kind of the dollar premium on rooms sold through Marriott, any color like that you could give? 
Jonathan Halkyard: We did give some expectations, I believe it was second quarter earnings call in August of last year, Robin. And although our implementation was delayed from October to a few weeks ago to January, our estimation of what the arrangement can bring us has not changed. So I'd just refer you back to those measures that we gave in August. 
Robin Farley: Does that mean that it's kind of too early to know what the last 3 weeks? In other words, like at the moment, no change in your expectations? Or are you seeing enough to say that it's delivering those numbers? 
Jonathan Halkyard: The answer is yes. It's early days. But as I think Bill noted in his opening remarks, we're very encouraged by what we're seeing in the first few weeks. 
Operator: The next question is from John DeCree with CBRE. 
John DeCree: Maybe a high-level question, to get your view on the consumer, so we talked a lot about the performance at your high-end properties in Las Vegas. I'm curious if you see similar trends or consumer trends at your regional properties, is it the high end and high tiers of the database that are driving performance there as well? Or might the business mix be a little bit more balanced? And realizing regionals have the same event draw that Vegas does, but curious if you have kind of a view on the segments of the database from a consumer perspective? 
Jonathan Halkyard: Yes. It's Jonathan. I'll offer a couple of comments. The answer is yes, but really for different reasons. In the regional markets, I think, as Corey mentioned, we've really directed our marketing efforts, and to a certain extent, the property amenities themselves, to higher-worth guests. We've reduced our marketing investments and promotional investments on the lower end. And that really started in the aftermath of the pandemic, and it's carried forward. So the fact is that the increases that we've seen in those regional properties are really predominantly from the higher average daily worth customers. 
 But I say it's the same effect for different reasons because in Las Vegas, what has been really driving this has been our special events, our focus on these customers through our branch offices and our own marketing efforts. And obviously, the citywide events that are going on have skewed more toward that high-end luxury growth as well as our capital investment in our luxury properties, so same effect for different reasons. 
John DeCree: I appreciate that color. And then maybe quickly on the growth CapEx plan this year. I think you listed a couple of the projects that go into that bucket, and you guys have this dialed in pretty tight by now. But is there anything that we should think about in terms of disruption? Are any of those projects large enough or the timing of such that we might want to think about any disruption at the assets? 
Jonathan Halkyard: I would say no. I've been at MGM for 3 years, and I've been amazed at our operator's ability to manage through disruption and room renovations as well as on the casino floor, but mainly in the room renovations. If you think what we've done just in the last year or so with New York-New York, the spa tower, The Water Club, the Borgata, et cetera. This year, we have, the ones I mentioned, Chelsea suites, we're starting in the MGM Grand and so on, and also in the Bellagio Main Tower suite. So no, I would not advise you to really incorporate any disruption from those investments. 
Operator: The next question is from Steve Wieczynski with Stifel. 
Steven Wieczynski: So real quickly, just two quick questions for me, but when we think about margins in the regional markets, look, I understand there was a material impact in the fourth quarter from the strikes and the customer at National Harbor, but Jonathan, maybe just how are you guys thinking about the way margins could look for this year? 
Jonathan Halkyard: Yes. There were a lot of things going on this quarter. I would say that we can do 30% margins in the regions. We do have a number of tools at our disposal, but we're also facing some labor cost increases there. But when we do the forensics on the fourth quarter and look ahead to this year, we believe that, that's achievable. 
Corey Sanders: And in the regionals, especially fourth quarter because of weather and it's a little slower, you'll have a little bit lower margin in the fourth quarter, but 30% for the year is attainable. 
Steven Wieczynski: Okay. Great. And then Bill and Jonathan, you've given us a lot of color around the gives and takes for this year in Vegas. So without getting too much into guidance, I'm going to try to ask this question and see if I'll get an answer out of you, but I guess the simple question is, do you think it's actually possible to grow full year EBITDA this year? Are the overall comparisons, the hold comparison, is just going to be too tough to overcome? 
William Hornbuckle: No. Look, I think the answer is yes. I think we've budgeted to that. We've convinced our Board of that. We're incentivized to do that. And I think the answer is yes. Obviously, '23 was an amazing year. We've got some headwinds with particularly labor costs. But there's enough programming out there, enough momentum that, in macro, we think we surpass. And so it's not going to be like double-digit, I can assure you, but I think we surpass. 
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Mr. Bill Hornbuckle for any closing remarks. 
William Hornbuckle: Thank you, operator. Thank you all for joining us today. Just a couple of thoughts. I mentioned this word earlier, again, resiliency, our troops have demonstrated, so I again want to thank them. '23 was an incredible year. We had an all-time EBITDA year, 7 of our properties continue to break records, and so we're anxious for the future. Macau is well positioned. We've ended up in a great space in digital, and we're in the game for real for the long haul, and so you'll see us continue to do that. And we launched our own digital brand and business in rest of world, and so excited by it, excited by the balance sheet and the development opportunities. Remember in '23, Japan came our way, which is one and only and a very unique thing for the company in the long term. And so we're excited by that and potentially the opportunity that New York may bring. So '23 was a great year. We hope to replicate it and then some in '24. And we thank you for your time. 
Operator: The conference has now concluded. Thank you for your participation. You may now disconnect your lines.